Viveka Hirdman-Ryrberg: Welcome to Investor's Q3 Presentation. As usual, we will have our CEO, Johan Forssell starting out and then followed by our CFO, Helena Saxon. After their presentations, we will have a Q&A session. First, we will take the questions over the phone with our -- with the help of our facilitator and then, we will also take questions over the web. And once again, welcome to all of you who are joining us today both, over the phone and over our webcast. Now, Johan.
Johan Forssell: Okay. Thank you, Viveka and also from me, a very warm welcome to this presentation. Let me now start with the overall picture in a quarter where we saw falling stock market, our performance held up a little bit better than the stock market which showed some resilience, and actually, all our 3 business areas performed better than the Swedish stock market during the quarter. We continue to see a good development within Patricia Industries, with the subsidiaries growing profits by 18% in the quarter compared to tough comparison period. And we actually reached a new record profit in the quarter. And then we also have quite high activity across the portfolio. We invested more than SEK 2 billion in Sobi related to the acquisition of CTI, which is a very important acquisition for Sobi. And we also announced a big acquisition by Laborie, one of our subsidiaries in -- within Urology area, and I will come back to that. Finally, we also divested our entire remaining stake in Accelleron during the quarter, so high activity during the quarter. Let me then move over to the financials. As you can see, the adjusted net asset value was down 2%, and our TSR was minus 3%, which can be compared to the stock market that was down 6% in the quarter, and that leaves quite a significant outperformance year-to-date. If I then move over to the Listed Companies, the total return was minus 3% compared to the market being down 6%. And the relative outperformance was mainly driven by a good strong return in Sobi and SEB. As I mentioned, we invested more than SEK 2 billion in Sobi related to CTI. And that is an important acquisition within the hematology area that fits very well within Sobi, both from a commercial perspective, but it's also an important part of growing the U.S. presence. We divested shares in Accelleron for SEK 2.6 billion in the quarter. In total, that means that we have received SEK 3.6 billion plus SEK 0.1 billion in dividends for our stake in Accelleron. And then there has been a number of future-proofing activities in the portfolio companies, and I will come back to that during my presentation. One of them is ABB that has decided to invest USD 280 million in the Investor [ AB ] Sweden to build out a new robotics hub. And this is important because this is part of ABB's local-for-local strategy. They have a very sizable operation in China, close to Shanghai, also building out in the U.S. market, and this one will be the central hub within robotics for the European market. If I then move over to Patricia Industries, the total return during the quarter was flat. And if we look on the operation, and Helena will come back to the different drivers of that flat development later. If we look on the operational performance, the sales growth was 10% in the quarter, of which 5% organically, and the profit, as I mentioned, was up 18%. Laborie announced the acquisition of Urotronic in the quarter. Here, you can see the development over time, and the bars is the profit per quarter and the line is the rolling 12 months figure. And you can see that Patricia now is up on an annual basis of more than SEK 61 billion and getting close to the SEK 15 billion marks in profit. Here, you can also see when you look on the profit growth in the third quarter, that 3Q last year was a very tough comparison quarter. If we look into the fourth quarter, of course, the profit growth in the third quarter for Molnlycke, in particular, as you know, it was more or less flat because we had a tough comparison last year. For Molnlycke, last year's third quarter had clearly the highest profit, while the fourth quarter last year had clearly the lowest profit. So when we enter the fourth quarter, all else equal, we should expect strong profit growth in Molnlycke. Moving then over to the companies in -- or the financials per companies, you can see that 8 out of 9 subsidiaries reported organic growth, and we have strong profitability for all companies except one. So a very broad-based and strong development in the quarter. Let me just make one comment here on the difference between Advanced Instruments and Atlas Antibodies. We have mentioned for a couple of quarters that both have been negatively affected by the biopharma segment. But now we see a strong growth in Advanced Instruments, while we saw a very big drop in Atlas Antibodies. And the main reason here for the drop in Atlas Antibodies is that this is a small company, and it sells to a large extent to biotech companies that are smaller and early in the phase. So preclinical and so forth. And we saw a very significant drop in that customer base, especially related to visium companies that are dependent on financing. And as you know, financing is quite tough at the moment. The other part within Atlas Antibodies, which is related to hospital, universities, diagnostics, and larger pharma companies were actually quite stable. So going forward here, we expect to see stabilization and we will, of course, implement cost actions given the lower sales. Within Advanced Instruments, we see a much better picture, as you see. And there are a couple of reasons. First of all, Advanced Instruments sell to more mature companies, late-stage companies, and that is one of the important reasons. The second one is that Advanced Instruments actually have about 2/3 of the sale, which is consumables and service, which is more stable. In the quarter, actually instruments to the biopharma side was still down for Advanced Instruments, but the comparisons is now getting I think easier. So the drop is much smaller on instrument sales, and we continue to see a very high growth in service and consumables. So that's the main explanation for the difference between the 2. Moving then over to Molnlycke. The organic sales amounted to 4% in the quarter. Important to notice here on that overall growth figure is that it has, of course, been negatively affected by the situation in Gloves, where we saw organic sales being down 14% in the quarter. And that decline was related to the U.S. market, where we continue to see distributors destocking their excess inventories. It might continue going forward. Hopefully, of course, eventually, this destocking will start to ease. Wound Care, we saw a continued good development with an organic growth of 8% in the quarter, and also the Operating Room Solution had a good growth of 5%, and that was supported by pricing and continued good growth in Trays. And here, we also see continued improved value-add offering to the customers. Let me then make a few comments about Laborie's strategic acquisition of Urotronic. Urotronic is a medtech company offering the Optilume drug-coated balloon technology. And Laborie has already bought this product for the urethral strictures application. And we are super happy with the development of Optilume for urethral strictures. It's actually development -- developing better than our plan when we bought it. And now, we are buying Urotronic with the product for the BPH market. And that is, as you know, for benign enlarged prostate. That's a very significant market. And this company has extremely strong clinical data. If you look on flow rate, if you look on the amount of urine in the bladder, or if you look into how many times you need to revisit the doctors on all these areas, they actually have superior clinical data. So we will need to work with this company now to build the commercial part for that application, work with reimbursement, but we see in long term, we see a very big potential for this company. And we will invest about USD 232 million upfront, and we will more or less [ inject equity ] for all of that. And we expect it to close just within a few weeks here. If I then move over to EQT, rather stable development. Total return was up 1%. The cash flow was negative as exit were lower than the drawdowns. The development was mainly driven by EQT AB, as you can see, while the fund investments were slightly down in the quarter. As you know, we report the fund investments with one quarter lag. So this is actually the performance for the second quarter in EQT on the fund investment side, and EQT has already had that trading update to the market. And in that, they were clear that the value development in the third quarter, which would be our fourth quarter was more or less flat. So in summary, we will continue our work to drive the strategic initiatives to future-proof our companies. It's very much related to technology, take advantage of the opportunities that we have in many companies within climate change. And we will -- but we will also, of course, need to handle the current market environment and focus on agility and capturing all the opportunities we see out there. And I must say that when I look on our company's performance, I think that they are doing a good job in balancing short-term efficiency focus with investing for the long term in prioritized areas. And as you know, we have a strong financial position. So we are ready to continue to capture opportunities as they arise, and we intend to do that. So with that, I will hand over to Helena.
Helena Saxon: Thank you, Johan. Thank you very much. And then let's look at the development of adjusted net asset value during the quarter. We saw a slight decline but landed the quarter at SEK 760 billion. This corresponds to an average annual growth with dividend added back of 15% compared to 8%. And this slight decline of 2% is a result of Listed Companies being down 3%, Patricia flat, and investments in EQT up 1%. Looking at the year-to-date performance, it's, of course, stronger with the 15% growth driven mainly by Patricia Industries and Listed Companies. While Listed Companies was down 3%, it still outperformed the SIXRX. And as Johan already mentioned, the main drivers here were SEB and Sobi, Together, these 2 companies contributed to net asset value by SEK 8 billion. And going over to Patricia Industries. The drivers of estimated market values in the quarter were several. Earnings and cash flow contributed positively to the development, while we had multiple contraction and some currency headwind, and all this, of course, then resulting in a flat development during the quarter. The overall picture is positive. We see many companies increasing in value but please note that the SEK 3.5 billion increase in Vectura's valuation is due to the capital injection from Patricia Industries. And just to comment on the decline in Molnlycke, of course, this is driven by multiple contraction and also some currency. And in Atlas Antibodies, as Johan has already talked about, we see a weaker operational performance and weak end-market demand. We still have a strong financial position. And while leverage in the quarter was up somewhat, we're still at the lower end of our target range. And looking at our balance sheet, it's strong and we have proactively managed maturities. So they've been extended and refinanced at fixed attractive interest rates and our average maturity is now 11 -- more than 11 years, and we do not have a repayment until 2029, as you can see on this graph. And as usual, I will end with this picture showing that the return -- the total return for the Investor share has been strong. We have not only outperformed our internal return requirement of 8% to 9%, we've also managed to outperform SIXRX, not only in the short term, but also in the longer term. And that ends the presentation, and I will hand over to you, Viveka.
Viveka Hirdman-Ryrberg: Thank you, Johan and Helena. We will now open up for questions, and our facilitator, Sharon will take the questions over the phone. So over to you, Sharon.
Operator: [Operator Instructions] And your first question comes from Derek Laliberte from ABG Sundal Collier.
Derek Laliberte: So I'd like to ask on Molnlycke on the price increases in the ORS segment or is it pertaining to any particular region? And what would you say is the outlook for continued price increases in this segment?
Johan Forssell: I would say it's broad-based geographically, but it's mainly related to the product categories within ORS that have the highest value add, for example, Trays. We expect to continue to work with pricing because, as you know, this is the segment which has a lower profitability compared to the other segments. So profitability is high on the focus within ORS. So we hope to continue with the price increases.
Derek Laliberte: Sounds promising. And this, on the same segment, there's added value in the product offering. Is there something new here? What is that referring to with regards to the Trays?
Johan Forssell: No, it's part of the strategy that is being implemented within this business unit, really try to increase the value-add and thereby increase the profitability.
Derek Laliberte: And in Wound Care, it was strong in the quarter. Are there any particular products or product areas to highlight would you say contributing to this 8% organic growth in the quarter?
Johan Forssell: Actually, if we look on the Wound Care development in the quarter, we can see that it was actually quite broad-based growth in the quarter. So we saw good growth in all key geographical regions.
Derek Laliberte: And just to clarify on the Gloves destocking amongst distributors, this should continue somewhat in the fourth quarter, I suppose is reasonable to expect or…
Johan Forssell: Yes. I unfortunately cannot say that it will not. We saw that it continued also in the latter part of the third quarter. So most likely, it will continue into the fourth quarter. But of course, eventually, they will reach -- the distributor will reach normalized levels. So -- but today, it's difficult to see exactly when that will happen.
Derek Laliberte: And then moving over to Advanced Instruments and there's good news in the quarter. And clearly, the company has really strong growth track record there with the 10% organic over the last 15 years before the acquisition. Looking long term, at what pace do you think this company could grow? What's the ambition?
Johan Forssell: I will not give you a figure, Derek, but I think that if I start with the end markets of this company, if I look into the extremely strong market position they have and also the work that we are doing internally in the company to grow geographically and also going more direct in certain -- compared to selling through distributors in certain geographies, we at least have great expectations for this company long term. I think, as I mentioned before, it's an excellent well-run company in an attractive niche, super strong market positions, and that is, of course, also reflected in the financials with a high profitability and good cash conversion.
Derek Laliberte: And then just if I may ask on the same company going in just generally on the customer segments there. I know you can't give a figure but where should the growth come from in the short term? Is it through sort of biopharma segment recovering or is it more broad-based also from hospitals and sort of consumer food and beverage segment?
Johan Forssell: It's difficult, as you know, to give a specific forecast for a quarter, but I would phrase it like this, if you look on the customer mix of Advanced Instruments, it's about, half is to the clinical segment, which is more stable segments with good organic growth, but stable. And then you have about 40% or so that is to the biopharma. And here, we have seen swings as you know, over the last couple of quarters. That is a segment where we see really good long-term growth potential. But of course, while the comparison quarter-over-quarters can play a trick. And the latter part is more related to certain segments within food and bev. So -- but you can say 50% clinical and 40% biopharma is the exposure.
Derek Laliberte: And just finally, on geographical perspective there, where should the growth come from long term? Is it broad-based overall or is it more Asian expansion, et cetera?
Johan Forssell: No. I -- the biggest market for Advanced Instruments is the U.S. market, and we see good growth potential in that market. The region where we are going more structurally now from selling through distributors to in certain countries going more direct is the European market. And that's an important initiative for this company. And of course, that is in addition to accelerate the growth, that's also a way to improve gross margins. And then, of course, in medium and long term, we, of course, have the ambition to grow in Asia. Within Advanced Instruments, the biggest exposure to the Asian region is the business Solentim, which is within the cell line business, and that was one of the acquisition. They have quite a sizable exposure to the Asian market.
Operator: [Operator Instructions] And your next question comes from the line of Joachim Gunell from DNB Markets.
Joachim Gunell: 2 questions from me. Starting off with the portfolio pruning here, the divestment of the remainder of the shares in Accelleron was, I would say, quite expected here. But can you say anything about where you are in relation to your stated ambitions when it comes to you only own what you believe is core?
Johan Forssell: I mean that is -- and we are stating the same to all our companies, as you know, it's always a continuous work. We need to continuously evaluate if we are the best owner and that might not only be the companies but also actually the certain business areas within the companies. So I would say, for all our 24 companies and ourselves, this is, of course, continuous work to make sure that we have the right structure internally. And if you come to the conclusion that you are not the best owner or if you don't see the potential long term, you should, of course, try to find a structured solution. It could, for example, be what we did with Vectura where we divested the elderly care that we announced quite recently. So it's a continuous work.
Joachim Gunell: And then on the more forward-leaning side, given the, call it, financial flexibility you currently have. Can you comment a bit on what you're doing now in terms of how you're spending your time regarding looking at with new subsidiaries for Patricia and versus the bolt-on to the current existing platform?
Johan Forssell: We continue to look into both. As I mentioned before, we have a good pipeline when it comes to add-on acquisition, and the Urotronic that we now announced was one of the -- ones that we have been evaluating for quite some time. And we see many more interesting opportunities for add-ons, and we will try to hit the ones that fits and we can acquire. We are also looking into new platforms. Those are, of course, much, much fewer, the opportunities we look into, but they are also sizable. So -- and that is primarily -- the opportunities we look into at the moment is primarily within industrial technology and medtech.
Operator: [Operator Instructions] And your next question comes from the line of Johan Sjoberg from Kepler.
Johan Sjöberg: I would like to just take a little bit of a broader picture, if I could. Looking at the work in the boards now for your companies, Johan, if that's okay. Especially looking at the cap goods companies, I mean so far, we see the EBITDA with the figures. But just in general, what is the sort of mood, what is the focus in among these companies right now? As we are likely heading into a sort of a slower environment, are you sort of taking precautionary cost measures? And on that note, also looking at over the past sort of year or 2, we've seen quite substantial order intake stem on the back of supply chain. Do you generally feel that there's been a sort of an overbooking in the past and that we are -- it's been -- order books are a little bit inflated or how is that -- what is your thinking about that, it would be fantastic.
Johan Forssell: Since I sit on a number of these boards and they have not released the results. So I will not give a specific comment on it. But as I've said it before -- of course, over the period when we had significant supply disturbances in the global economy that were most likely a number of customers that put in orders to be in the queue. So that's clear. When it comes to the focus or mood, as you say, in the boards, I would say that all companies today, given the environment, it's a big uncertainty out there. But as you have seen in the economy, it's still held up reasonably well. So companies are continuing to invest in strategic areas. And that's, of course, a positive also for the global economy, you invest a bit to bring forward solutions for -- and products for climate change, new technologies and so forth that we have discussed about. Companies are investing to handle the geopolitical situation. That is also a key area. And -- but also, of course, the companies are preparing for a tougher time should they come. Here, as we have said many times, I mean, we don't have a crystal ball, but we want that we and our companies are ready to act swiftly if there are changes in the market environment. So that is how it is. And to be fair, we see it in our subsidiaries right now. In certain areas, we are clearly already implementing continuous plans while most of -- fortunately, most of them are in growth mode, but in certain areas, we are already implementing. So you need to -- within each company, it might actually be that you're continuing to capture all the growth opportunities in certain areas, while in some areas, which is tougher, you might need to adjust to the cost base.
Johan Sjöberg: And I understand it's difficult to answer, but I appreciate that. Talking about the Molnlycke, just coming back to that. I'm -- I want to ask you about especially the Wound Care business also. I mean it was a great presentation by Zlatko and his team, you have that in the post. But just looking at sort of going forward here, has there been any change whatsoever among in this business? Because I mean, of course, I mean, when we are heading into tougher times, I mean this is a high-quality product and you implemented price increases, but is still the value sort of -- is that still sort of -- or do you see a potential for a downturn in demand due to cyclical reasons or you view this as more non-cyclical?
Johan Forssell: No, I think it's fair to say that this compared to most other companies out there, this is less cyclical companies and more stable, and we continue to see very good growth opportunities in this company. I can see some of the comments that the growth is fading here. But of course, it is partly related to the fact that the Gloves is down 14%. And that is distributor is destocking. 8% for Wound care is a really good performance, and we are very pleased with that. So we continue to see very good opportunities for this company.
Johan Sjöberg: I think also Zlatko, I think I asked him about this sort of trying to push him for a figure. And of course, he was not super willing to give a forecast, and I don't think you are as well, Johan but sort of has the market environment changed for Wound Care since that presentation to start off with or do you see sort of the same sort of growth outlook just going back a few quarters? Or has there been any change or anything like that?
Johan Forssell: No, I will not say there has been any change in the market since that time. But the reason why we do not comment to be honest with you, and I think it's the same for me and Zlatko is that how will the demand be in the next coming quarter and none of us know. We will just work extremely hard to capture all opportunities and build competition. I mean that's what you can do. If sometimes you have more tailwind and sometimes it's a little bit tougher out there. That's our focus.
Johan Sjöberg: And do you have seen -- have you seen any change in competition here or anything like that? Because I mean, typically, when you have this sort of growth and margins, they tend to attract the competition.
Johan Forssell: No. Compared to when Zlatko presented, I would say that we don't see any major changes. But we will have a Capital Markets Day coming up, and you will have chances to dig more into that with Zlatko in the Q&A then.
Johan Sjöberg: Can I ask then also just looking at margins also for Molnlycke, I mean considering the strong growth rate in Wound Care and also I think it's superior margins, you can say, compared with the other business area there. Is it fair to assume if this trend continues that you should see the impact on that on the margins for Molnlycke was that -- or do you -- is this sort of R&D, is that R&D costs or is that sort of having a negative impact upon margin, so we shouldn't expect any impact on that? Or how should we think here?
Johan Forssell: I will not give a margin forecast, Johan. But let me give you a couple of -- we had -- I think it was 29% EBITDA margin compared to 28.5% or so last year in this quarter. If you look on the profitability in the third quarter, what are the dynamics here? First of all, you have a good growth of Wound Care, which, of course, is supporting both from an operating leverage perspective and a mix effect. On the negative side, Gloves is actually a significant and more profitable product category than ORS. So there, you have a negative mix since Gloves is down compared to ORS. And then the final comment is that this company actually had a negative impact on the margin from currency, which is related mainly to the euro-U.S. dollar rate.
Johan Sjöberg: And also when it comes to the Gloves here, when do you expect this destocking Phase 2 to be over?
Johan Forssell: Actually, I cannot give you an exact figure. But likely, it will continue into this quarter. Hopefully, it will not be there next year.
Johan Sjöberg: Can I ask you one more question? It's about Permobil. And I apologize if you have addressed this already, but it was quite an impressive performance, I would say, also just looking at the margin is clearly up. Now if we compare with -- at least I have been used to. Maybe that is just because we have had the supply chain issues, which have impacted the pandemic for the customers and things like that. But how -- you -- is this sort of -- is Permobil passed the worst now? And -- or has there been anything developing within the new products coming out because it was quite a very good figure, honestly.
Johan Forssell: There are 2 parts. Thanks for the question, Johan. 2 parts of your question, I think. First of all, the company is developing really well. The company has brought forward a number of very interesting and innovative products that are now being launched out in the market. So that is clearly one of them. And they have also worked on a number of efficiency improvements, not the least within logistics. So that's really good work to Bengt and his team. If you look forward, which is implicit in your question on what should we expect here, I would -- if we talk about profit growth, I would caution a bit because if I compare with Molnlycke in the fourth quarter now, we should, all else equal, see a very strong profit growth because fourth quarter was so low last year. While for Permobil, the fourth quarter was actually by far the best quarter last year. So sometimes, of course, when you look on these growth figures between -- in the different companies, one needs to look into the comparisons numbers. But the key message is that the company is developing really well.
Johan Sjöberg: Yes. I'm actually a bit more interested, to be honest, looking in sort of into 2024 and beyond that actually. I mean, given the levels here, I mean you had 25% EBITDA margin in Q4, and you're on that same level in Q3 now. And once again, I'm not trying to -- well, actually, I am. I'm trying to get -- push for a figure. But sort of is this sort of -- is this a normal run rate for Permobil because we haven't seen this 25%. I'm trying to -- looking at my own model here and I find in Q3 2014, but that's -- but or is this sort of a normal level where Permobil in your view should be at?
Johan Forssell: No, I will not give you an answer to that. And the reason for that is that also for this company, the mix between different products will have an impact. So I think the key is that -- and of course, if you are running right now at 25% margin, if we would see a great opportunity to grow a business which has, let's say, 15% margin, and it's really value created, we will do that, but that might affect the mix and so forth. So our focus is to really maximize the value through organic growth and efficient improvements and investments and then the mix can -- and then, of course, also the market currency rates and other factors might play in here. So I will not give you an answer, but the company, I can say that my view is really that the company is in good shape.
Operator: [Operator Instructions] And your next question comes from the line of Oskar Lindstrom from Danske Bank.
Oskar Lindström: 3 questions on my side. I'll try to be quick. I mean the first one is on your portfolio. So you say you're continuing to look for -- at new subsidiaries for Patricia and you've been doing so for some time. I mean if you don't find anything, could share buybacks be an alternative or is that completely sort of not on the board?
Johan Forssell: Okay. Of course, when we look into new subsidiaries, what I've said before is that if we acquire a new subsidiary, it's need to fulfill our key criteria. It should be something we understand, attractive niche, and a strong position in that niche, but it also needs to have a reasonable size to move the needle. If you put that together, we will be picky. So we have no problem if it takes time. We will work extremely hard to find the right one. But if we find the right one, we are clearly willing to hit it. So that is on that. Share buybacks is not the priority for us. Our priority is to invest in our companies, develop our companies, and continue to make sure that we deliver on our promise to the shareholders of a steadily rising dividend. That is our priority.
Oskar Lindström: My second question is on Molnlycke, I mean we're seeing quite a bit of sort of disinflationary pressures overall in the economy sort of mounting. I mean you talked about price increases in the ORS segment partly driven by mix. I mean are you seeing any price pressures in the other segments or do you find yourselves sort of sacrificing volumes in order to either hold or drive pricing in the other segments of Molnlycke?
Johan Forssell: Exactly how you handle the pricing, of course, is -- sometimes, it's partly strategic, but also a tactical question, and that is something for management to handle. What I can say is that if I look on the overall Molnlycke, the biggest price increases we have within the ORS segments.
Oskar Lindström: So my final question then is in Sarnova, where we've seen a very positive margin development for quite some time. And as far as I can see in this quarter, it was a record EBITDA margin. What's changing in this company? And is this what we saw in this quarter a sustainable level or a new level or is it just a blip?
Johan Forssell: Actually, I will have to come back on mix also here. Because first of all, there is some operating leverage during the quarter where we had these record margins. But one of the key reasons is actually that the highest growth in this quarter, we saw in the revenue cycle management being driven by increased transportations for ambulances and so forth. And that business, the Digitech business is a software-related business and it has the highest margins within Sarnova. The second highest growth in the quarter came from the cardiac business, which is basically heart starters, et cetera. And despite that they grew strongly in the third quarter last year, they actually had very strong growth also in this quarter. And the cardiac business has the second highest profitability. The other 2 businesses, which is the Emergency Preparedness and Acute, they were more flat in the quarter from a growth perspective, and they have lower margins than the other 2 businesses that I talked about. So that is the key reason for the high margin in this. So if you look forward, if the RCM business and the cardiac business will grow, that will, of course, support and vice versa.
Operator: I will now hand the call back to Viveka for webcast questions.
Viveka Hirdman-Ryrberg: Thank you. We have a few questions. One is from Thomas Eriksson, who has a question on what's your plan to improve the performance of Ericsson?
Johan Forssell: I think that is actually a question you should put to the Ericsson's management instead of me. What I can see is, of course, that at the moment, Ericsson's big profitability drop is, to a large extent, related to the weak market in the U.S. in networks. I mean in the quarter, network sales was down 60%, and this is a profitable market for Ericsson. At the same time, they grew in India, which is a lower margin segment or region. The key, of course, what then need to do. Of course, they need to face the fact that the market is slow and take out cost, and they have a cost plan out to take out SEK 12 billion of cost, and that is -- we are highly supportive of adjusting. At the same time, of course, they are investing for the future. So it's back to this balance. But the details about it, I think, should be asked to the management of Ericsson.
Viveka Hirdman-Ryrberg: Then we have a question from Samarth Agrawal also relating to Molnlycke around the Q-on-Q decline in Molnlycke's value for sequential decline. Is it mainly due to lower market multiples?
Helena Saxon: Yes.
Viveka Hirdman-Ryrberg: Yes.
Helena Saxon: That's correct.
Viveka Hirdman-Ryrberg: Yes.
Helena Saxon: There's -- what I would say is a headwind.
Viveka Hirdman-Ryrberg: And then a second question here. While you mentioned strong year-on-year trends for 4Q, on base effects, how should we think about sequential growth for Molnlycke? You've been into this partly.
Johan Forssell: I will not go into detail because it comes back to what I said before. We don't have a crystal ball exactly how this will play out. I can just see if I look on Molnlycke during 2022, I can see if I look on the profit for each quarter, the third quarter was the highest profit and fourth quarter was the lowest. And then, of course, I can see where we are at the run rate and so forth. So that is my only comment that I want to -- everybody to remember that now in the fourth quarter, it will be an easier comp for us.
Helena Saxon: Yes. Operationally, but we're not commenting the value because it, of course, depends on external multiples in the market in general.
Viveka Hirdman-Ryrberg: Then also on a general note on multiple contraction within private markets, do you see more willingness from sellers to divest assets at market -- markdowns versus in prior year?
Johan Forssell: No, I cannot say that I see any big differences. As I've said before, it normally comes back honestly to case by case. And normally, if you want great assets, prices are still high. If it's less attractive businesses, you can buy them at a lower multiple, but that is not our strategy.
Viveka Hirdman-Ryrberg: And then there is yet another question from Saima Hussain, also relating to Molnlycke, what drove the SEK 3.6 billion decrease in Molnlycke's value?
Helena Saxon: That's the…
Viveka Hirdman-Ryrberg: What we have been discussing.
Helena Saxon: Yes.
Viveka Hirdman-Ryrberg: Yes.
Helena Saxon: The fall in some currency.
Viveka Hirdman-Ryrberg: And then the final last question from Jan Wagner if Investor has Berkshire Hathaway as a role model.
Johan Forssell: I have the biggest respect for Warren Buffet. But role model, I think we try to do as good as we can. But of course, he has done an absolutely fantastic in his business career, and I'm a big admirer of him.
Viveka Hirdman-Ryrberg: That was the last question we had today. So by that, we want to thank you for joining us today. And on December 8, Investor will host the Capital Markets update. So welcome then. Thank you.
Johan Forssell: Thank you.